Operator: Good day, ladies and gentlemen. And welcome to the Honeywell's Fourth Quarter Earnings Release and 2021 Outlook. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation.  As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mark Bendza, Vice President of Investor Relations. Please go ahead, sir.
Mark Bendza:
Darius Adamcyk: Thank you, Mark, and good morning, everyone. Let's begin on slide two. We finished a challenging year of a very strong quarter, driving sequential improvements from the third quarter in sales, segment margin, adjusted earnings per share and robust free cash flow. In the fourth quarter, we delivered adjusted earnings per share of $2.07, flat year-over-year and $0.05 above the high end of our guidance range. This result was up 33% sequentially from adjusted EPS of $1.56 in the third quarter. Organic sales were down 7% year-over-year, four percentage points better than the high end of our guidance range and seven percentage point sequential improvement from the 14% organic sales decline in the third quarter. We drove double-digit year-over-year organic sales growth in Defense and Space, fluorine products and recurring connected software sales, as well as 27% organic growth in Safety and Productivity Solutions, an outstanding result. Our cost plans delivered our full year commitment of $1.5 billion in savings and helped us protect margins, limiting our decremental margin in the quarter to only 26%, an improvement from Q3, 29% decremental margin. Segment margin contracted 30 basis points year-over-year, a significant improvement from the 130 basis point contraction in the third quarter, driven by margin expansion in Aerospace, Honeywell Building Technologies and Safety and Productivity Solution.
Greg Lewis: Thank you, Darius. And good morning, everyone. We showed a slide similar to this one during our December Investor webcast. And I want to highlight it again here today, because I think it nicely summarizes our ability to manage through tough times. Our execution through this year's downturn clearly demonstrates our ability to move quickly and decisively to reduce fixed costs, to protect margins, to ensure liquidity, invest in growth and position ourselves for recovery, while at the same time, we maintained focus on our pre-transformation initiatives, Honeywell Connected Enterprise, Honeywell Digital and the integrated supply chain.
Darius Adamcyk: Thank you, Greg. Before we wrap up, I'd like to take a minute on slide 13 to discuss one of the key elements of our overall ESG story. Last quarter we discussed Honeywell's commitment to shape a safer and more sustainable future. This time, I'd like to focus on another important topic, corporate social responsibility. Honeywell is committed to corporate social responsibility and community involvement, which we demonstrate through unique global programs to look to improve lives and inspire change in the communities around the world. Beyond these programs, we acted quickly throughout the course of the pandemic to address the needs of our employees, communities and customers. A few of our more recent actions are shown on this slide. Most recently, we announced our participation of unique public-private partnership backed by North Carolina Governor Roy Cooper to help support the goal with 1 million COVID-19 vaccinations by July 4, 2021. We have partnered with Atrium Health, Tepper Sports & Entertainment, the Charlotte Motor Speedway, the State of North Carolina to administer the vaccine, manage complex logistics and to provide operational support for mass vaccination events. We're very proud of - to be part of this effort to prevent further spread of the virus by helping frontline workers and other members of our communities to get vaccinated. Another recent example of Honeywell's contribution to our communities is the important mask delivery milestone we achieved in December, where we delivered more than 225 million face masks to help protect workers in their response to COVID-19. We delivered N95 respirators and surgical face masks to multiple locations in the US for healthcare systems, the Federal Emergency Management Agency and the US Department of Health and Human Services. In addition, we shipped millions of masks to both state and local governments. We are proud of these contributions and our role in providing much needed PPE to workers around the country, responding to the pandemic. Finally, we are also committed to recognizing and respond to the needs of our employees. We recently recognized the dedication and strength of our own frontline Integrated Supply Chain production teams, who have been instrumental in keeping our manufacturing sites running safely, enabling us to meet critical customer needs during these unprecedented times. To show our appreciation, we announced a special $500 Recognition Award for each of our frontline production and production support employees. We continue to be inspired by the members of our Integrated Supply Chain team who have truly gone above and beyond to support our customers throughout this pandemic. Now, let's wrap on slide 14. There is no doubt that 2020 was a challenging year. However, we effectively managed through the downturn, the repercussions of the global pandemic by focusing on liquidity, cost management, strong operational execution and investment for the future. We drove sequential improvement from the third quarter in sales, segment margin, adjusted earnings per share and free cash flow, creating good momentum into 2021. The past year was another proof point that the Honeywell value creation framework delivers outperformance even in the most challenging economic and market conditions. We continue to invest in organic and inorganic growth opportunities in the downturn to high reaching  CapEx and M&A, positioning ourselves for the future and the recovery to come. These growth investments will help us solve challenging problems for our customers, address critical global sustainability issues and drive superior shareholder returns. I'm proud of Honeywell's rapid and effective response to the challenges of 2020. Our employees around the world work hard to quickly adapt and deliver through the crisis, including ramping up production of critical PPE, developing our portfolio of healthy solutions and delivering growth in multiple areas of the portfolio. We are well positioned for a recovery in the second half of 2021 and beyond, as demonstrated by our expectation to return to our key long-term growth commitments for 2021. With that Mark, let's move to Q&A.
Mark Bendza: Thank you, Darius. Steven, give us a moment while we gather here for Q&A.
Operator: Absolutely, sir.
Mark Bendza: Okay, Darius and Greg are now available to answer your questions. We ask that you please be mindful of others in the queue by asking only one question. Steven, please open the line for Q&A. Thank you.
Operator: The floor is now open for questions.  We will now take our first question from Nigel Coe with Wolfe Research. Please go ahead.
Nigel Coe: Thanks. Good morning, everyone. Thanks for the details on the guidance. So your 1Q sales guide, I just wanted to dig into that. You've provided some good general detail on what you're expecting, but the midpoints have not set down very similar as what we saw in 4Q, despite much of your comps. So I'm just wondering were there any - anything unusual in 4Q, any budget flushes there some speculations, there is some pre-order activity from other companies, etc. So just wondering if you've seen some type of supply chain quotings and bringing order demand maybe causes the sales guide to be essentially flat - Q-over-Q with what you saw in 4Q?
Darius Adamcyk: Yeah, I don't know that there was anything unusual in Q4. I mean, I think obviously we had to see a continued ramp up of our SPS business that will continue, but it does start flattening at some point. PMT basically came out about as we expected, as we know that UOP business particularly is lumpy and the mix of the catalyst ship can vary dramatically. I think if you look at overall, COVID is a big play in this, and I would say, especially if you compare the COVID situation early in Q4 versus where we are now, we're in a much worse place. I mean, that's obviously that has to weigh on that. And frankly we really thought about whether or not we should guide Q1 at all. I mean, I think that we're in a place that's the level of infection throughout the world is the highest it's ever been right now and there's a lot of uncertainty. But we thought we would give sort of our best effort and provide a little wider range than normal to give our investors some of our best really educated view of where we think we're going to end up. But there is a lot of - there is more uncertainties this quarter. Greg, I don't know if you want to add anything.
Greg Lewis: I mean, even for all of us have been traveling is a question mark. If you read the Journal this morning, they talked about the airlines and concerns even in the US about whether there's going to be testing requirements put in place for domestic travel. We know that that's been put in place already on international travel. So yes, to Darius' point, I just think there are some things out there that are really kind of hard to predict. But as I said in my remarks, I mean, the down 10 to down five kind of brackets, the down seven we had in the fourth quarter. The down 10 is in case something gets worse, that we don't really - can see at this moment, but it could be better than that if things progress. So nothing - there's nothing strange. I mean, we always have a fourth quarter to 1Q decremental sequential sales. 4Q is always our strongest quarter, so nothing unusual in there.
Darius Adamcyk: Yeah. And just to add to that, I think, actually predicting that sort of in line is probably not that unusual. And then Aerospace, which obviously is our biggest business, the things to consider there is, if you look at infection rates in fact, at least in the western world, you had holidays, the air miles flown could be actually down and we see that, we actually given some of the outbreaks that we saw earlier this quarter in China and Asia-Pac specifically is where we're seeing some pressure. So that's sort of the puts and takes of the quarter.
Nigel Coe: Thanks very much.
Operator: And we will take our next question from Steve Tusa with JPMorgan. Please go ahead.
Steve Tusa: Hey, guys. Good morning.
Darius Adamcyk: Good morning, Steve.
Greg Lewis: Good morning.
Steve Tusa: Wish I had time to read the Journal this morning. That's impressive you can read the Journal on earnings day, you must have it all wrapped up there. Just on the margin side. Pretty decent margin expansion guided for this year. Assuming you guys do better on sales would there be any reason as to why those margins would be weaker than you're guiding to? Or do you think that if you do a little better on sales, you can still kind of converted at this high level?
Greg Lewis: Yes. So Steve, I think what we tried to do is position ourselves this year for anything. So, I mean if we guided something we feel like is very much deliverable in that 30 to 70 range and if sales actually turn out to be better, I think two things can happen. One we can convert a bit of a higher rate, but two, we may invest more back in the business. We have some important things to get done in Aerospace from an R&D perspective. We are funding some of that already. If things get better than we think then we could let the line out a little bit further. So if you look at our conversion in the last three quarters of this guide, it's really converting like 37%, just the math the 37% conversion rate in Q2 through Q4 with this guide. So we think it's a pretty strong rate of conversion, as it stands right now and we're trying to give ourselves optionality to both deliver earnings, as well as make sure we've got some room for investments.
Steve Tusa: Is that high 30 sustainable? Is that high 30 kind of a sustainable rate going forward?
Greg Lewis: I think that remains to be seen. We're - again, we're very confident that now that we're this 30 to 70 this year gets us right back in the 30 to 50 long-term framework that we've been consistently able to deliver. So that's what I can say about that.
Darius Adamcyk: Yeah, I mean I think couple of points. First of all, Steve, if you take a look at our conversion rate for 2021 versus that with deconversion the leverage ratio it's fair and it's - and we project that in Q2 to Q4. The wildcard in a lot of this is Aero aftermarket, right. I mean that is probably the single hardest number for us to call because it is directly correlated to vaccinations and the speed of those vaccinations and rollout. If that comes in better than we're projecting and obviously there is upside to the margin rates. If it doesn't, well, then probably going to be someplace in the mid to lower end. But I think it's really important to note something else Steve, which is, if you look at the upper end of our margin rate for 2021, I mean, we get back to 2019 and up, I mean, so basically, we're kind of taking a one-year break, initially there were discussions about when will it take three years or two years to get back to that, and we're kind of getting - hope on the EPS range and so on pretty much to 2019 and a course so it's sort of a one-year break. But it's usual, we're trying to be prudent in our planning this early on in the year with this many unknowns, with the vaccine at levels that growth has never seen. So we're trying to embed that into our guidance and obviously we're going to provide you more clarity as the year progresses.
Steve Tusa: One more quick one. Will you guys pretty much track flight hours in Commercial Aerospace aftermarket or will there be kind of a lag like some have talked about?
Darius Adamcyk: There is a little bit of a lag, but there'll be a correlation eventually. So, as you know, those numbers are kind of correlated. So, as we track the flight hours travel, yes there might be a bit of a lead lag. But the correlation is there.
Steve Tusa: Thanks.
Operator: We will take our next question from Scott Davis with Melius Research. Please go ahead.
Scott Davis: Hey. Good morning, guys.
Darius Adamcyk: Good morning.
Scott Davis: I'll keep to one question, but hopefully you guys can answer it a little bit more broadly than perhaps what I'm asking directly, but can we talk about Intelligrated and just kind of how scalable it is. I mean your margins rising as you grow. I know the install isn't necessarily all that profitable, but are you actually seeing an improvement in margin structure perhaps because of the supply and demand imbalance maybe better pricing that's leading to better margins. I'll just leave it at that and if you can give me some color there, it would be great.
Darius Adamcyk: Yeah, let me start on very much. I don't think we're expecting dramatic margin improvement in Intelligrated in 2021, and let me explain why? The reason is that we are just booking an incredible amount of greenfield project and you saw that it was another incredibly robust year in terms of bookings. We expect double-digit growth again. Particularly, what's really important is to look at the ratio of our aftermarket business to our projects business and as you can imagine that's not changing of anything probably the projects are growing that much faster than aftermarket. So obviously that was going to keep pressure on the margin. But we should view that has a good news thing, because as I explained this before, eventually when the growth slows down, the growth rate will be slower, but the margin rate will be higher. But we're still going to be very much in this greenfield expansion mode for the next few years, which means higher growth rates, lower margins, which over time is going to moderate to lower top line growth rates and higher margins. That's sort of how that business is going to grow. What's really encouraging here is, the amount of share that we're gaining in the marketplace. There is unquestionably this business is winning and winning big in the market.
Greg Lewis: And I would just add, your question about scale. That's - we talked about some of our growth investments and some of them are here to scale this business. So we are making investments in capacity and scaling up as we go both here and in Europe to - because again that was also part of the plan as well broadening our reach beyond just the US. So that's a big focus for this team. The scale question is, is one of the biggest things that they have on their plate and we're making nice progress.
Scott Davis: Good luck, guys. Thank you.
Operator: We will take our next question from Andrew Obin with Bank of America. Please go ahead.
Andrew Obin: Yes, good morning. Sort of continuing with sort of Scott's angle. Another business you announced the deal with SAP on-the-building solutions and you didn't provide a lot of details, but since then I think Latch has published an extensive debt talking about very, very aggressive market growth targets. I was just wondering if, given that there is a competitor there with aggressive targets for market growth, if you could just talk about maybe in a little bit more detail about opportunities that you are seeing and sort of software on the building side as this business is evolving?
Darius Adamcyk: Yes, I mean, a couple of things. Number one, so we're seeing very strong double-digit growth in our connected buildings offering, SAP partnership is working. We're actually still innovating together, we're launching aggressively even more aggressively into the marketplace. This quarter, next quarter as we complete some of their joint innovation. Just to give you a perspective across all of our business units, this will give you a hint as to how well this business did. Honeywell Connected Buildings business won the Business Unit of The Year across all of Honeywell. So that will tell you a lot about its financial performance. So that business is growing as fast as any business we currently have, getting traction with SAP partnership, but we're also getting traction in the marketplace. Frankly it's a gap that's unfilled and we don't think that there is anything out there that is comprehensive in terms of our Connected Building solutions that we have, which really covers the full scope of energy management, occupant comfort safety, overall maintenance footprint. So it's really comprehensive just about anything and everything related we're building in. And that business is - think about high double-digit growth kind of numbers.
Andrew Obin: Helpful. Thank you.
Operator: We will take our next question from John Inch with Gordon Haskett. Please go ahead.
John Inch: Thank you. Good morning, everybody.
Greg Lewis: Good morning, John.
John Inch: Good morning. Under what scenario would PMT sales be negative in terms of your range to the low end of your guide? And I'm just thinking out loud, you do have other build exposures in floorings which is going to be really good. I would think the UOP catalyst reload likely next year based on pent-up demand and then we've got commodity prices higher. I'm just wondering how that actually plays into your thinking for this segment, both in terms of sales and margins. And I think PMT decrementals were about 50% or over that in the fourth quarter. So, can you kind of, think about it and I'm claiming a bunch of stuff into my one question. So, there you go.
Darius Adamcyk: Yes, John.
Greg Lewis: Maybe it's a good adaptation.
Darius Adamcyk: The answer is defined. This is all about UOP, let's start with that, right. The advanced materials were pretty comfortable with the growth profile, HPS, was kind of over and up in what we're going to do, which is growth. UOP is a little bit of an unknown, right, because what we've seen can happen is that lot of the catalyst loads or re-loads get pushed out of projects, get pushed out. To give me some comfort is that our bookings in the backlog are higher entering 2021 versus what they were in 2020. So, I am cautiously optimistic, it's - we're going to see growth, but we've also seen some push outs of particularly catalyst loads and delaying in projects and if that happens, obviously we're going to have to see pressure from the UOP side. And frankly, the price of oil is at a reasonable number right now, it's not in the 30s or 40s, now it's in the 50s, which is quite receptive to investment. What worries me is that a lot of the big oil and gas majors who are our customers set their budgets just like we do in Q4 of 2020. So - and they've announced some pretty big cuts. So, what we don't know fully as are those, are there going to be adjustments made based on the economic conditions, based on adjustments to those budgets. There is a point, there is definitely a pent-up demand, because you can't under fund this marketplace for too long. So, whether that happens in the second half of this year or '22, that story is yet to be told. But what we don't know is we still have a lot of sort of bookings that we expect for the second half that we have visibility to but they need to land. And that's why we provided the guide, we did because we don't know whether or not they will land or they will get pushed out to '22. But I have zero doubt and I mean zero doubt because I was in this business in '15 and '16 that there will be a big reinvestment cycle because you can't start this market for so long and that's why it's sort of, we can debate when it will come, but there is no - undoubtedly it will happen.
Greg Lewis: And if I could, just because you mentioned margins as well, I think the thing you have to keep in mind there is, is two. Number one, as Darius described, the catalyst obviously, pretty high margin and so that impacts our mix. And then the other thing is we are executing on a lot of the gas processing business that we had won back in 2019 and 2020 and a lot of that's in high growth regions. So, you can imagine there is a lower margin aspect of some of that business as well that we're actually executing here through 2020. So, that's been an impact to the PMT margins when you take away the catalyst business and that becomes a bigger share of the overall PMT - sorry, yes, PMT mix and UOP in particular.
John Inch: Okay. Just to make sure I understand. If a reload does happen, that's possibly very significant upside to the guide, but for now, you're not assuming that? So, I'm assuming PMT is probably kind of on the UOP side, sort of flat for the year. Is that's a fair statement?
Darius Adamcyk: Yes. That's right, because right now those jobs are not booked in the second half. We have visibility during the pipeline but until they book it's a little bit of an uncertainty. We expect them to, but could they get pushed out to '22, absolutely.
John Inch: Got it. Thanks for the color. Appreciate it.
Operator: We will take our next question from Josh Pokrzywinski. Please go ahead.
Unidentified Analyst: Hi. Good morning, guys.
Darius Adamcyk: Hi, Josh. Good morning.
Unidentified Analyst: Just looking at the broader Honeywell software offering, Connected and otherwise, I understand it probably varies by business, obviously, a lot of different end markets there, but can you talk a little bit about how adoption is fared and customer conversations are going? I would imagine with folks starting to pivot back to growth or investment as they expect COVID to get resolved that those should be accelerating but as you mentioned a few times Darius, there's awful lot of complexity and cases are actually worse. But how is that adoption going? And is that frontline moving higher as people are thinking about kind of post-COVID digital transformation?
Darius Adamcyk: Yes. Well, I'll be honest. I wasn't - I think, we actually had a very reasonable year in 2020, despite some of the challenged markets we're in, but just to give you a couple rough numbers. If you think about our overall software growth, it's mid single-digit even in 2020 environment. And then for recurring growth because frankly, we're sacrificing some top line growth because we're really converting our entire Forge business, Forge software business is only sold as a SaaS offerings. That actually grew in the teens last year. So, that was a very good year and we actually - we expect an acceleration on both of those figures for 2021. But 2020 for me was a really good proof point that this business is a cyclical. And as we continue particularly to build that recurring revenue base, which is growing more than two x our served traditional software base, it's going to be a great tailwind for the future of Honeywell and the future of that software business. And with offerings like we just talked about in connected buildings and our cyber offerings, I'm quite confident that it's going to continue to grow at that kind of pace. So, the short story is we're seeing more traction and we are winning more accounts.
Unidentified Analyst: Great, thanks.
Darius Adamcyk: Sure.
Operator: We will take our next question from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi, good morning. Maybe my question would be around the free cash flow outlook. So, the operating cash flow is guided to drop I think around $400 million at the midpoint, even though net earnings should be up probably high-single digits. So, just wanted to try and understand what's happening within that around sort of working capital. Is it the fact that you had that exceptional receivables tailwinds in '20 that has to reverse? Just trying to gauge how conservative or what assumptions you've got on that working cap side. Because I think that the CapEx is up, but only up maybe 10% or so?
Greg Lewis: Sure, sure. So, as we discussed the 5.1 to 5.5, just to ground out the numbers, that's 15% to 16% of sales. So, pretty similar to what we just did at 16%, is 95% to 98% conversion. So approaching 100%, it's 113% to 115% conversion extension. So, just keep in mind relative to the base metrics are pretty healthy numbers. As it relates to working cap and what's happening there. Yes, I mean obviously, sales came down substantially this year and both with some transformation and effectiveness in our process, as well as harvesting receivables. We had a very big - we had a very big cash flow from AR this year. We started to see some of the inventory come down in 4Q, for the year, it was still a build. And so when we think about next year, that's the area that I expect us to make more progress is on inventory and start seeing some inventory reductions, again even in the face of sales growth. And so I think you're going to see, we're world-class on payables, we'll continue to make some steady progress as we do each year. We'll make some progress on our programs around transforming on our credit collections aspects. And so I would expect we'll make some more progress on past dues and DSO, but the big effort is really going to be focused around inventory in 2021.
Darius Adamcyk: And I would sort of, I think, I would classify our cash conversion in 2020 as exceptional. I mean, 105% conversion and 120% if you exclude something very positive, which is the fact that we're one of the few companies that have substantial pension income. So, we might be going from exceptional to very good. Frankly, the receivables performance was outstanding. We're not sure that can be replicated, we're certainly going to try. But we're going to focus on some other elements. And I will also say we've done a nice job on advances on build too in terms of 2020. So, I thought that this performance on cash was exceptional, and if you really take a look at, especially if you adjust for pension or take a look at our cash generation as a percent of our revenue, you will find that we're in the top quartile of performance, and that's certainly...
Greg Lewis: Yes. We used to live down in 11% to 12% of sales. And now we've been posting 17%, 16%, 16%. So, we feel pretty good about what we've done here.
Darius Adamcyk: And I hopefully, by now it's sort of clear that this is not luck and it's not a one-time phenomenon, that this is actually repeatable of that.
Julian Mitchell: Great, thank you.
Operator: We will take our next question from Jeff Sprague with Vertical Research. Please go ahead.
Jeff Sprague: Thank you. Good morning, everyone.
Darius Adamcyk: Good morning, Jeff.
Jeff Sprague: Hey, good morning. Maybe a quick one on pension. Agreed the conversion numbers look great, especially if you adjust for that, but the fact that you're now so over-funded, is there a way except through an insurance company or something that actually kind of extract monetary value from the pension or when you speak of it is kind of a value driver, are you really kind of talking about, a, it's great that it's over-funded? And b, you can use pension income to basically offset restructuring or other kind of cost related actions you might be taking?
Greg Lewis: Yeah, I mean, I guess I would say a few things. We were always looking at options around the future of the pension plan. So, that's something that we look at constantly. As far as value creation, I view it in two ways. Number one, it's a risk mitigator, I mean other companies are having to pile cash into their pension plan because they're unfunded, we don't. I can't remember the last time we put anything substantive into our pension fund, which obviously would take away from our ability to deploy capital into things that are going to drive growth. So, that's when I say, it's a value driver, particularly vis-à-vis others. It's a huge value driver and that case in particular. So, that's - and yes, it's a 113% funded. I feel great about where that is. Even if we were to have a bit of a market downdraft, we would still be very, very - in very good position in terms of that funding levels. So to me, it's - the team has done a terrific job of managing the pension and the annual returns around it for a very long time and it has absolutely been very good for us and for our balance sheet and our liquidity.
Darius Adamcyk: Yeah, and Jeff, maybe couple other things to it. There's really only two ways you can sort of monetize. The one way is obviously, if there is no more people in the pension plan anymore, which frankly it's a couple of years from now, that's - the other way you could sell it to potentially insurance company, and so on. But there is a big premium on that, so financially that doesn't make a lot of sense to do that right now. But I think what our investors should really remember is that when they think about pension, particularly given the de-risking that we have and the amount of fixed instruments that we have, this should be completely worry free for them because even a huge adjustment in the stock market is not going put us in parallel. So, I just think that this is sort of a safe haven in terms of an area that frankly is a big question mark for a lot of companies out there. For us, it's a big positive and is going to stay that way for the foreseeable future.
Jeff Sprague: Great. Thank you.
Mark Bendza: Steven, let's take one last question, please.
Operator: Yes, sir. We will take our final question from Joe Ritchie with Goldman Sachs. Please go ahead.
Joe Ritchie: Thanks. Good morning, everybody. Thanks for squeezing me in. So, I have a little bit of a longer-term question actually on the UOP business. How do you think about that business just in with the backdrop that you've got, EVs are obviously going to become a much bigger portion of the market going forward? There's going to be some biofuel conversion, so how are you thinking about that business kind of structurally more - longer term?
Darius Adamcyk: Yeah, good question. Good morning. Two-fold, the first one is, the world, obviously, that the world of energy and how energy is generated is going to change over time. And the direction of that is clear. It's going to be renewables, energy is going to become much, much more prevalent part of the future. But it's also not going to be immediate. It's not going to happen in 2022 or '23 and it's going to be slow gradual progress. So, a lot of the things that UOP still does will become relevant, particularly a big part of that business being around gas, natural gas, which we know is the cleanest of the hydrocarbons. So, that's Phase one. So, I think that we got to continue to serve our customer base. And frankly, many of whom will be transforming in terms of how they provide energy to the world. The second part, as we've launched a new business within UOP, Sustainability Technology Solutions business, which is going to become a bigger and bigger and bigger part of the UOP portfolio. And it really has three primary growth levers. One is energy storage, which is economically feasible and viable and we're building and deploying our first prototype of that this year. So, it's not a dream. Two is, 360 degree plastics recyclability, which also we're going to be deploying some technology this year. And then last one, where we really are the pioneers, which is Ecofining, which is going to become a bigger, bigger part of that refining footprint. So, we've got three sort of, this is under one business umbrella and that's going to become our growth engine for the future. So, what I envision happening is potentially longer term, some of the more hydrocarbon-oriented offerings will slowly and I emphasize, very slowly decline, while our Sustainability Technology Solutions business will grow very, very quickly. That's - that sort of how you see that business evolving. That's where we - this is another place we're investing, put our dollars to work and we're excited about the future and the kind of solutions that we have. And as you know, we don't have better scientist anywhere in our company than in UOP when it comes to material science and I'm quite confident that some of these technology breakthroughs will work and will really enable a path to future energy footprint of the world.
Joe Ritchie: That's helpful. Thanks, Darius.
Darius Adamcyk: Thank you.
Operator: This concludes today's question-and-answer session. At this time, I would like to turn the conference back to our speakers for any additional closing remarks.
Darius Adamcyk: Thank you. I want to thank our shareholders for their continued support of Honeywell throughout the macroeconomic challenges of 2020. I'm pleased with our execution throughout the year, proving that we can and will outperform in all economic conditions. We are well positioned for the recovery. I'm excited for the opportunities to come in 2021 and beyond. Thank you all for listening and please stay safe and healthy.
Operator: Thank you, this does conclude today's conference. Please disconnect your lines at this time and have a wonderful day.